Christian Gjerde: Good morning, and welcome, everybody, to this fourth quarter and full year results presentation for 2025 for Elopak. My name is Christian Gjerde and I'm the Head of Treasury and Investor Relations. Today's presentation will be held by our CEO, Thomas Kormendi; and CFO, Bent Axelsen. The presentation will last for around 30 minutes, followed by a Q&A session where the people here in the audience and the people following us online will be able to ask questions. So with that short introduction, Thomas?
Thomas Kormendi: Good morning. Thank you very much, Christian, and a warm welcome to all of you here in wintry, beautiful Oslo morning and pretty cold one as well. Today, we're going through Q4. And on a personal note, let me just say it is a great pleasure to present Q4, closing off what has been a really, really strong year for Elopak. And I think on behalf of all of the Elopak team members here, my colleagues, we are incredibly happy about the result we are about to present. First things first. And just to remind everyone, what is it actually we are doing? We are on a mission where we are offering sustainable packaging. And that we do in commodities, we do it across the world. We, through this, enable nutrition and also all the time are thinking and considering how we impact and how we enable the reduction of plastics. Let's then go to the performance. And as I start off by saying, it's been a very strong quarter, and it actually rounds off what has been a momentous year for us, both in terms of results, but also in terms of the strategy execution that we have executed during this year. Now firstly, we have -- we're seeing a quarter of very solid growth around 15%. That leads to an increase in EBITDA by more than EUR 5 million and a margin level of around 14.6%, which is a strong result, and it's also driven essentially by a number of elements, including evidently the growth we're seeing, but also the pricing initiatives we have, also the operational excellence, the cost controls we've had, all of that has led to this result. I'm coming back to that. Americas, clearly with Little Rock now in place, Line 1 producing, delivers 28% growth. And also, very importantly, the Little Rock plant is now, for the first quarter, accretive to the group. Remember, we said in Q3 that we were now cash positive in Little Rock, and now we are with -- in this quarter, also accretive to the group. We also record the highest ever cash from operations, more than EUR 63 million, and that leads us to propose a dividend in the range of EUR 0.102, a total of 59% in terms of net profit. I think it's fair to say that it's been a year where we have strengthened our strategy, particularly, of course, in U.S., but also in other areas that you will see throughout this presentation. Let's firstly think about the revenue side. And this is the first year actually where we are breaking the EUR 1.2 billion mark. And we're doing that, thanks to clearly the growth in U.S., but also very solid growth in commissioning of filling machines, which will give you, as you know, is a good indicator of coming sales. It's a very strong indicator of how our customers look at the offerings we have, the equipment we have, the services we have. Looking at the EBITDA level, we are delivering roughly EUR 9 million more on a full year basis. And as you can see, increasing margin levels to about 15.3%, well in line with our midterm targets and also throughout a level in Q4, which is driven by essentially growth in America, but also growth outside of America like India. Let's go to the strategy and a couple of words around this. And some of you will have seen it before, but it is important to highlight that what we have seen throughout the last few years, '25 not being any exception, is that we are following these strategy points pretty disciplined, in fact. Clearly, it's about the realizing global growth where Americas is the #1 priority for us, frankly, in terms of capital allocation and also in how they now deliver the growth. But it also includes MENA and India. We have the strengthening leadership, which is all about our core business in Europe, our developments around delivering sustainable packaging, delivering on regulations, up-and-coming regulations. And then lastly, the plastic to carton shift. which we have talked about a number of times, and I'm going to highlight examples of that now. What we haven't talked about very often throughout these quarters are the efforts that we are doing around the operational excellence. And we do that across the group. We do it in our manufacturing facilities, reducing waste, improving our waste figures, and increasing our OEE figures, getting more out of our assets, but we also have a number of other examples on that. And let me just go through 3. Firstly, and this we always take because this is also part of our midterm targets, and that relates to safety. And while all incidents, obviously, are too many, any incident is one too many, we are seeing a development in the right track. We are down now to 4, which is for us, historically, a low level, in fact. This is a TRI level of 4. And if you go a couple of years back, we would have been at a lot, lot higher level. It's thanks to a discipline in the organization and a very high level of commitment in the team driving the safety awareness and the safety culture in Elopak. The other one, which we are very happy about because this is a strong indicator of why -- how we're going to grow in the future as well is, we maintain our fixed cost base while increasing our revenue with about 6%. Clearly, this is a testament to the fact that this is a very scalable industry. We do see the possibilities of driving more business through our organization and then hence, increase our effectiveness and productivity. And finally, on a very important point relating to our working capital, we are now seeing efforts that are finally paying off, I can say, on inventories, reductions by 17%, and also an overdue collection, which is down quite significantly. So all of that is, I think, is a sign of health how we are driving and building the operational efficiency while driving growth and securing the profitability. Now on a completely different topic, but related to plastic to carton. Very often, we talk about non-food. We talk about areas outside of our core categories. But we also focus on the business that is very close to us, the dairy business, and not only in milk, in this case, also in cream. And interestingly, and this is not something you would necessarily see everywhere. But in Germany, as an example, you will have a significant amount of cream packed in plastic cups, essentially. You can look at the slide and you see the classical plastic cups, which are used for cream. Now together with one of our close customers in Germany, NordseeMilch, we've been working on a project on replacing some of these plastic cups by cartons. This actually results in somewhere around 65% to 80% -- 85% less plastic for the retailers. So clearly, very interesting from their point of view. But also and very importantly, it also results in higher efficiency in transportation, logistics costs go down and overall TCO, total cost of ownership, which is in favor moving it from plastics into carton. It's something that is only just beginning with the end of last year when we started it. It's something we believe strongly in. We will have -- will be -- can be rolled out to more customers. A lot of that is, of course, private label in Germany. But as you will see also on the quote, we think this is a really, really good example of even in smaller parts of the -- in core categories close to our heart, how we can work on the plastic to carton replacement. Right. And I think with this, Bent, I will hand over to you and join you in a second again.
Bent K. Axelsen: Thank you, Thomas. Let's jump straight to it, starting with the EMEA segment. For EMEA, we reported revenues of around EUR 222 million. That is a growth of 8%. That growth is mainly driven by the increased sales of filling machines, which was at a really high level in the quarter. That being said, this is compared to a rather softer quarter last or the year before for filling machine. And there -- back then, we also had a higher share of rental. So that is also exaggerating the growth level to some extent. The carton business and the closure business is rather stable year-over-year. What we are seeing is that there is a decline in the juice segment. This is very much driven by the high citrus prices that is depressing demand. That is then compensated by growth in the UHT segment, where we have customer wins, and we also grow with selective customers. The closure business is basically following the carton demand. In MENA, the business case is stable. We have a resilient demand in an environment that is quite competitive these days. When it comes to home and personal care, this segment is developing slower than expected. It takes more time to develop a new category, but we still believe in the long-term potential of this segment and the global mega trend. If we look at Roll Fed, as we have reported before, we see a decline in Europe, but the rate of the decline is lower. So we are hoping for that the tide will turn to some extent, and we will look forward to how that will develop in the following quarters. In India, on the other hand, the Roll Fed growth continues to be strong. We report a revenue growth of around 6% in India. And that is despite a weak season for juice where adverse weather has dampened the juice demand, and we also continue to see overcapacity and very strong competition and price pressure in the overall India market. When it comes to profitability, we are reporting EUR 31 million, slightly below last year. The margin is 14% versus 15% and that margin reduction is due to the fact that we are growing at a high rate in India. And we are selling a lot of filling machines in the quarter, and both those 2 factors dilute the average margin for the segment. On the operating cost side, what we are happy to see is that improved efficiency rate reductions are offsetting inflation and the continued increased R&D activity level. If we move to Americas, we are reporting around EUR 100 million. That is 18% growth. And on a constant currency basis, that is 28%. This is, obviously, the impact of the successful ramp-up of the Little Rock plant, where we are steadily onboarding customers throughout the quarter. In addition to Little Rock, we have very strong performance in the Canadian assets and that enable growth in the fresh dairy segments. All in all, this is also supported by a continued trend where dairies are prioritizing supply security, and they want to have a dual sourcing strategy and here, Elopak comes in. In addition to the volume growth, we also have carton price adjustments in America following the higher raw material costs. The EBITDA is EUR 23 million. That's up from EUR 19 million the year before, and the margin is improving to 23%. This is driven by the volume growth, obviously. But in addition to that, we have attractive mix effect in the business. And we're also very happy to report that Little Rock as a plant is delivering margin -- accretive margins to the group, in line with what we have talked about when we talked about this investment for the first time. So very happy to see this development. Also in America, we are seeing a benefit from improved operational efficiency, and that also includes improvements in waste. So that is good to see that we can grow and have operational efficiency at the same time. On the other hand, when it comes to our joint ventures, the results or the share of the net profit from these joint ventures are -- have declined to EUR 1.9 million from EUR 2.7 million, and that is reflecting a softer demand and change in consumer pattern in Mexico and Central America. If you go to the bridge from EUR 41 million to EUR 46 million, we start off with the revenue mix. As I mentioned, this is obviously driven by the American expansion with a strong growth. And it's also a result of price increases initiated throughout the year in Europe. And these 2 in combination are the main factors for the effect of EUR 9 million. The raw material cost base is stable. And below that, we see higher board prices that are almost offset completely by reduced LDPE prices. As you see on the chart here, we are very pleased to see that the operating costs, if you adjust for inflation, they are actually down compared to last year. And that is a result of a systematic initiative in the company where we are reducing the use of external services, stricter travel policies and generally improved efficiency in the way we are spending our money. The last bridge element, we have already talked about the joint ventures, but we see we have a currency impact of EUR 1.9 million, and that is a result of the weakening of the U.S. dollar. If we then move to the quarterly cash flow, we are very happy to report that not only this is a quarter with strong profitability, but it's also a quarter with good working capital turnover. So we start with the left, we start with the EBITDA, and we see we have a reduction of working capital of around EUR 28 million. Thomas talked about improved inventory of packaging material, reduced overdues. The high rate of commissioning of filling machine have also reduced the inventory of the filling machines. This -- we do have inventory increases in U.S. naturally because that comes with the growth. So the structural part of it is around EUR 7 million, EUR 8 million. And in the quarter, we have an unusually high account payable of around EUR 20 million, and we believe that EUR 20 million increase will reverse in the first half. So of this reduction, there will be a reversal, which will be close to EUR 20 million sometimes in first half because these accounts payables they are going up and down with the business cycle and the settlement of our raw material contracts. In addition to that, we are paying the EUR 9 million of taxes. The other is basically a reversal of the share of net profit because that is not a cash flow item, giving the EUR 63 million cash flow from operation, which is the highest figure we have seen in the quarter so far. Cash flow from investing activities is EUR 23 million. We see the investment of EUR 28 million, and that is EUR 8.5 million related to the U.S. plant. We do have our normal maintenance programs in our plants. Filling machine CapEx is lower than normal because we are selling more of the machines versus renting them out, and that reduces the CapEx. The cash flow from financing activities is minus EUR 32 million. That reflects the dividend of EUR 22 million and lease payments and interest. And as you can see from the chart, we have a reduction of around EUR 8 million in net bank debt if you compare Q3 and Q4. We want to talk about the year as well. And also for the whole year, we are happy to report that we are generating enough cash flow, both to pay dividends. We are -- for the year of '25, we are paying 1.5 year of dividends because we changed from one dividend payments per year to semiannual payments per year. So we do that. We have the investment program in Little Rock. And despite that, the bank debt year-over-year is stable. So we are very pleased to see that. And with that combination, that also brings the leverage ratio to 2x, exactly on 2, which is our midterm target. And that is a result of the profitability, the improved working capital that we have generated throughout the quarter. And I think what is good to see is that the leverage ratio as such is coming down from Q3, but so is the absolute level of debt, which is going from EUR 272 million to EUR 264 million. If we move to the return on capital employed, it's still picking up, getting closer to 16%, now 15.7%. And then we see the effect of the growth and operational leverage from our American assets. We still have some investments to do. We have invested $96 million so far in Little Rock, and we have $32 million to go for the investment in the third line that we announced in the previous quarter. So a good year with good profitability and very strong cash flow. So with that, I will give it back to you, Thomas.
Thomas Kormendi: Thank you. So where does this then lead us? And I think summing up of what we have just seen here, it's clear that we talk about solid growth. We talk about EBITDA growth of more than EUR 9 million, revenue growth of about EUR 50 million, leverage ratio already now down to 2x, which is in line with our midterm target. And then the dividend for the second half of last year, leading to a full year of around 59% of our normalized net profit. And all of that actually is in line with what we said back at the Capital Markets Day for our midterm targets. And what we are seeing now when we look forward and look to the full year, we expect to deliver -- continue to deliver in line with the targets that we have communicated back then in '24. So with this, I thank you very much for your attention, and we'll hand over to you, Christian.
Christian Gjerde: Thank you, Thomas. So with that, we will start with Q&A. So taking questions from the audience first. So I'll come around with a mic. Please state your name and the company that you represent.
Ole-Petter Sjovold: Ole-Petter Sjovold, SB1 Markets. So 3 questions, if I may. First, on the utilization on Line 1. What sort of utilization are you currently running? And is your customer ready to receive all the products? Question 2 is, did you add on any further offtake from Line 2 and 3 during the quarter? And question 3 is on the Roll Fed market in Europe. Could you touch on the price levels you're currently seeing being offered from your competitors? Is this at sustainable levels? Or is this another antidumping potential case?
Thomas Kormendi: Three questions. Let me try on the utilization. So what we said during all of last year, actually -- well, not all, after the ramp-up started is that. We saw a ramp-up somewhat slower than what we had planned. But as you can see, we mitigated that by producing more in Canada. So overall, the figures for Americas turned out very, very good. What we have seen in Little Rock is that the issues we commented on before, which had to do with some of our customers, their designs, onboarding some of their plants took longer. And we saw at the end of last year, we were getting very close to the right ramp-up speed. We also saw, which was extremely positive, that the efficiency in manufacturing, when we measured in terms of waste, et cetera, we were really, really at a level that was actually slightly ahead of what we had thought. So it was a mix. So when it comes to the full year, we did not fully ramp it up to the level that we thought, but the speed at the end was -- is right, if you put it like that, very close to being right at least. The question on Line 2 and 3, right? So what is happening now is we are installing Line 2. What is also happening is that Line 3, as you know, will be installed by the end of this year and during '27. So in the meantime, we are currently working on some movements of products just to make sure that we get the best efficiency in Little Rock from that point of view. But it's frankly more technical how we move from one or the others and you have to do with sizing and things like that. Roll Fed, so the Roll Fed market is, as we've communicated and Bent said, it's very competitive. It's very competitive. Pretty much everywhere we look in Europe, you have excess capacity and you have more capacity coming in, maybe not directly in Europe, but in the Middle East, which can also support into Europe. What we have seen in Europe is a stabilization of our Roll Fed volume to a certain extent. It's -- we have seen and we have actually walked away from quite a lot of business because it was at an unattractive margin before. And now we see that we are at a more stable level. If you ask, is it sustainable with the pricing levels we're seeing, I think the answer is no. It's not. It's not sustainable to make the kind of investments that are being made and then produce at -- with margins that are being produced. It's not sustainable. It's also a business when you look back a couple of years, you have seen companies close, you've seen bankruptcies, et cetera. It is a business with overcapacity in Europe, and it's not sustainable to supply at the margins that are, in some cases, being supplied. We are not doing it.
Marcus Gavelli: Marcus Gavelli, Pareto. So just first on the filling sales machines today. Could you try to elaborate somewhat on the geographical split on that, just first within EMEA and if you can -- as most granularity is preferred, but if you could provide any color on where do we see filling machine sales firming up? And also on the order book as well, how you see that now looking into 2026 versus when you look into 2025?
Thomas Kormendi: So if we look at the filling machine, we look -- we think about filling machines in 2 perspectives. Bent talks about commissioning, right, which is, obviously, very important for us. This is when they start producing and we get them out of our working cap and inventories. When we look at the order intake, we are seeing good order intake in U.S. rather -- yes, in actual U.S. in this case, U.S. but also in Europe. And we're seeing it in South Europe and also we see in Northern Europe. There is no -- I cannot give you an answer saying one or the other area right now is a lot more -- a lot stronger. Last year, South Europe for us was, from an order intake point of view, very strong actually.
Bent K. Axelsen: I think it's also if you want to see the split between America and EMEA, you can look into what I believe is Note 2 where you see this split between the segments.
Marcus Gavelli: And just on the -- let's call it the aseptic rollout, you're trying to -- it's at least in your IPO and CMD, you used a lot of time on the aseptic rollout and how you want to develop that into Europe. How are you seeing that? You didn't use too much time on it in the report today. You say Roll Fed volumes are stabilizing. Are we seeing that same trend in the aseptic segment?
Thomas Kormendi: Yes, I think if we look at the overall market on aseptic and for us, aseptic Pure-Pak currently is Europe only. And Bent pointed out as well, the juice sales, not specifically linked to our business, but in general, is under a lot of pressure due to high raw material costs, citrus prices, et cetera. You will go into any shop here and see it's become pretty costly with juice. We see that as well on our aseptic Pure-Pak business. On the other hand, we see higher than market growth in our UHT sales. So machines that are producing clearly UHT milk, but also other non-juice related products will tend to see good sales right now. Then you have, as always, exceptions also in juice. There are some customers who do better than others. But overall, juice consumption is strained.
Bent K. Axelsen: And also to add to that, I mean, there's a completely different dynamic between the Roll Fed business where we have lost market share, not only because of the pricing pressures, but because of tethered cap regulation where customers move to other formats. So there is a shift in format change -- in format preferences. So it's not all price competition. But there, we lost some market share. In Pure-Pak aseptic, we don't lose market share. It's a system where we sell the whole package. So these 2 businesses are perceived very different by our customers, and it's also run by us in 2 very distinctly different ways.
Christian Gjerde: Okay. No further questions from the audience. Okay. Then we will move to the questions that we have received online. So I will start with questions from Jeppe Baardseth, Arctic Securities first. What was the gross margin, excluding India and equipment sales? And how does this compare with historical levels? Additionally, could you clarify the gross margins for equipment sales and for India, respectively?
Bent K. Axelsen: So this is -- I don't know what you say, Christian, but that is probably beyond the disclosure level, but maybe I could add some color. When you sell a filling machine in Europe and many of the machines and you will find that and you'll in the notes, they are commissioned in Europe. When you have a sales, you have very limited margin. That is a fact. So you really cannot compare filling machines with blanks. When it comes to the blanks and closure business, in Europe they are rather stable and the margin level of the blanks business also are rather stable, if not slightly improving. When it comes to India, India margins do indeed impact the margin in Europe. We have not disclosed those effects accurately. All I want to say around that is that we are taking measures to not only improve pricing in Roll Fed, but also work on the raw material side, both the way we work with our suppliers from a price point perspective, but also from a value engineering perspective. I think that's probably as far as we can go to stay consistent with our disclosure level, Christian.
Christian Gjerde: Yes. Thank you, Bent. Continuing then with additional questions from Jeppe. What factors are driving the slower-than-expected growth in home and personal care volumes? Approximately what share of total sales does home and personal care segment represent today?
Thomas Kormendi: So let me start by the factors, what is driving -- maybe the question is why are we seeing the speed of ramp-up that we are seeing? And there are a couple of reasons for it. Firstly, I think it's important to remember, we are trying to do something new, right? We are trying to change something that has been around for many, many, many years. That takes a while. And many of these companies that will be working in these categories are large FMCG, large multinationals who frankly take their time. They have the equipment installed, they have the production base installed. There has -- it doesn't mean necessarily that everything will deliver in line with our plans or even their own plans. But there are other things in it as well, right? There are things that when you look at the non-food area, we are seeing quite a diverse picture. We look at it from a Nordics perspective, it's moving very, very fast. We see more and more equipment. We see more capacity needed. We go further down in Europe. We have retailers who, in some case, actually, in the case of Lidl will have set up a system around plastic recycling. And then that is a strong motivation for them to maintain -- to drive that business in its own right. And then we have, of course, companies and areas where we say, is it the right size? Is it the right format? Is it -- is there something around the way it looks? We are actually, as we speak, launching generation 2 of our system, which offers a different way of displaying our cartons, displaying non-food products in a more, I think, you can say, creative -- and using some of the advantages that are given through the designs, et cetera, which we think will overcome some of the obstacles in this. But I think the reality is, big FMCG areas tend to be slow moving. And there's a lot of testing going on. There is more equipment going in now. We are very committed to making this a success. We strongly believe it will be, but we have to accept that it's taken a little bit longer time.
Bent K. Axelsen: I think you've [ answered ] that. So the consumer priorities in 2026 compared to 5 years ago, they have changed. So there are other concerns and carbon footprint is probably not as high on the list from a consumer perspective. The companies and the brand owners, they still have their commitments, but that not necessarily the value proposition they are bringing to the consumers where the convenience will be the key criteria. Back -- on the question of how big it is today? I think you can say that today, the non-food volume is insignificant. But when we laid out the strategy, there was an expectation and an ambition to grow more than what we have done in 2025. So it's more to report that the trajectory so far since we laid out the strategy is not at the speed that we expected it to be, albeit from a minute starting point.
Christian Gjerde: Thank you, Thomas. Thank you, Bent. So continuing with one last question from Jeppe, relates to the competitive landscape in the U.S. So are we seeing any indications of additional demand following customers' supply chain derisking to call it that?
Thomas Kormendi: I think you can say yes, shortly without being too specific around it. I think there is an understanding and a recognition that we are putting capacity in. We are investing in Americas. That is not done by any of our competitors. And hence, there is a sense that from a contingency point of view, it's customers who we have typically not been -- have not been ours are now coming to us as well. It is frankly also part of the plan and why we established both Line 1, 2 and 3. So I think this is in line with what we had hoped and expected.
Christian Gjerde: Thank you, Thomas. That's a good segue to the next question from Charlie Muir Sands from BNP. How much of Little Rock's capacity has now been sold or committed to customers across the 3 lines?
Thomas Kormendi: I'm a little bit uncertain to us how explicit we are this in terms of disclosure. What we have said, you remember, is by the time we invest in Line 1, it was sold out. That was number one. Then we said we invest in Line 2 and we didn't sell out Line 2 because we wanted this to start up and get some experience. And then when we invested in Line 3, I think we said 80%, 90% was sold out. So that is the level we have had. Now what I then said is there will be some mixes here, right? Some volume will move, and we may see some movement into Line 2 earlier, et cetera. But overall, that is where we are right now. We are evidently continuing to sell volume and ensuring that the lines will be filled when we move on. But what we're also doing, and this is very important is, we are looking at Americas from a full supply chain perspective. And in Americas, we utilize all 4 factories. So Canada, Little Rock, Mexico and the Dominican. And what we are working on now, and going to work on is to make sure that we get the full optimization between the 4 factories rather than just talking about lines in Little Rock.
Christian Gjerde: Thank you, Thomas. A couple of more questions from Charlie. What is the 2026 CapEx expectation? If leverage continues to decline, what is your priority for surplus capital, higher dividends, M&A, buybacks?
Bent K. Axelsen: Right. So we announced Line 3 in the third quarter. We are building the second line Little Rock in the first half of this year. And we're also doing upgrades of some of the lines in Europe. So if you go back to the Capital Markets Day, we said that overall, the CapEx level will be around 5% to 7% of the top line. With that progression of the investment program, we will be on the higher end of that range, if not more, in 2026. So given the acceleration of the growth program, especially in America, we don't expect that there will be a lot of surplus -- extraordinary surplus cash. But you have seen from the dividend, we have given out now 59% that we are always looking to -- into the balance sheet. And as long as we are investment-grade [ land ] and delivering a leverage ratio of around 2x, and then we are willing to pay the dividends. But 2026 is going to be a relatively high investment level compared to 2025 for the reason I mentioned.
Christian Gjerde: Thank you, Bent. Then we have a question -- last question from Charlie, and it relates to the raw material costs for '26. So could we comment anything on how we see liquid packaging board pricing developing for '26 and also our other important raw material inputs?
Bent K. Axelsen: Should I take that?
Thomas Kormendi: Yes, please.
Bent K. Axelsen: Thank you, Thomas. So what we are seeing is that, generally speaking, for the year of 2026, the liquid packaging board raw materials are increasing average. There are pluses and minuses based on the different product categories. But overall, the liquid packaging boards are increasing. And remember that in Europe, we are negotiating multiyear contracts with the opportunity to adjust prices annually. So you will not see any volatility or any changes in the liquid packaging board prices throughout 2026 because those are contracted with very close to fixed price. When it comes to LDPE, we have reported over a few quarters, a softening of the LDPE. And I would like to remind that we are also hedging the position on LDPE and that hedging rate is typically 70%, 80% either through the commercial contracts or through the financial instruments.
Christian Gjerde: Thank you, Bent. Then I have one question from Hakon Fuglu or actually 3 questions from Hakon Fuglu. It goes back to the raw material prices again. So how are we able to mitigate the increases that we are seeing on liquid packaging board as an example? And how are you seeing this impacting volumes in EMEA?
Thomas Kormendi: Maybe I can start on this...
Bent K. Axelsen: Absolutely.
Thomas Kormendi: On this part because what we have done this year is we have increased our pricing, adjusted our pricing in line with what Bent just said, based on the fact that raw materials are going up. Now these price increases we've implemented early on from this year. They are implemented from January. And that's the one way, of course, we are offsetting it. The other one is evidently, given that we are also living in a competitive environment, we continue to improve on the efficiencies we talked about during this presentation, operational efficiencies, all the things we can do to offset these kind of increases. Volume-wise, what we see and believe is evident when you have these price movements, there will be ups and downs in the market. But as I said in the outlook, we believe that we are going to deliver in line with our midterm targets as communicated back in '24.
Bent K. Axelsen: Absolutely. And maybe to add one more thing as a mitigating factor for Elopak, which is quite Elopak specific, is the very strong growth we have in America, and that is giving us operational leverage and diluting the fixed costs. So that is also a way to mitigate and manage EBITDA margins.
Christian Gjerde: Thank you, Thomas. Thank you, Bent. A couple of more questions here before we round off. So continuing with a couple of more questions from Hakon. Can you comment on end consumer demand in the U.S.? Are you seeing volume growth on milk and other dairy products?
Thomas Kormendi: That's actually a very good question because what you see in U.S. is somewhat of, call it, softening or drop on plant-based. And as you -- some of you, I'm sure you will have known that recent years, plant-based gained share on the back of milk, which in turn somewhat declined. Now for reasons related to health, related to nutritional value, et cetera, there is a little bit of headwind on the plant-based side. And some of the plant-based products are seeing that more than others. What we hear, but I have to say here, because there are no really solid facts around it, but we hear that, that is then giving the milk consumption a resurgence in U.S., more protein -- focus on protein, et cetera, et cetera. As you know, the milk production and the milk consumption, but not liquid milk, but milk in general, is increasing a lot in U.S. and that has to do with cheese, spreadables, exports into China, et cetera, has been the driver there. But the liquid milk part over some years has been declining. And there are indications that, that is now turning around. But it's -- I think it's early days to say that.
Christian Gjerde: Thank you, Thomas. Then we will take one last question before we close off. That's from Alessandro Foletti from Octavian. Q4 growth was much stronger than full year growth. It seems that Q4 was -- saw an acceleration. Was this all due to stronger sale of filling machines? Or did you see somewhat of a market recovery?
Bent K. Axelsen: This is very much filling machines. If you are focusing on EMEA, we do have a commissioning plan. And when you make a commissioning plan that has a tendency to be quite linear in reality. Most of these contracts, these machines get commissioned in the fourth quarter. And I think if you look at December, I don't think we have ever seen so many machines being commissioning in 1 month. This is not because suddenly the interest was much higher, but it was basically a needed catch-up to get back what we lost in commissioning speed in the beginning of the year. So that would be the EMEA part. And in America, of course, then is real underlying growth, and that is not related to the market, but that is basically the market share we are getting being that second supplier to secure security of supply for the customers.
Christian Gjerde: Perfect. Thank you, Bent. So that concludes our Q&A session and results presentation for today. So I would like to thank everyone for joining both here in Oslo and you joining online.
Thomas Kormendi: Thank you very much.
Bent K. Axelsen: Thank you.